Operator: Welcome to AB InBev's Full Year 2024 Earnings Conference Call and Webcast. Hosting the call today from AB InBev are Mr. Michel Doukeris, Chief Executive Officer; and Mr. Fernando Tennenbaum, Chief Financial Officer. To access the slides accompanying today's call, please visit AB InBev's website at www.ab-inbev.com and click on the Investors tab and the Reports and Results Center page. Today's webcast will be available for on-demand playback later today. [Operator Instructions] Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on management's current views and assumptions and involve known and unknown risks and uncertainties. It is possible that AB InBev's actual results and financial condition may differ possibly materially from the anticipated results and financial condition indicated in these forward-looking statements. For a discussion of some of the risks and important factors that could affect AB InBev's future results, see risk factors in the company's latest annual report on Form 20-F filed with the Securities and Exchange Commission on the 11th of March 2024. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call and shall not be liable for any action taken in reliance upon such information. It is now my pleasure to turn the floor over to Mr. Michel  Doukeris. Sir, you may begin.
Michel Doukeris: Thank you, and welcome, everyone, to our full year 2024 earnings call. It is a great pleasure to be speaking with you all today. Today, Fernando and I will take you through our operating highlights for the year and provide you with an update on the progress we have made in executing our strategic priorities. After that, we'll be happy to answer your questions. Let's start with the key highlights for the year. We made consistent progress across the 3 pillars of our strategy in 2024. Our global momentum continued delivering all-time high U.S. dollar revenues with growth in 75% of our markets. Our business in the U.S. is building momentum. Our portfolio is reaching an inflection point, and we are increasing investments in our brands to fuel growth. BEES marketplace continued to accelerate and delivered $2.5 billion in GMV this year, a 57% increase versus last year. EBITDA grew at the top end of our outlook for the year, reaching nearly $21 billion with margin expansion across all 5 of our operating regions. The ongoing optimization of our business drove a 15% increase in the underlying U.S. dollar EPS as well as a step change in our free cash flow generation, which increased by $2.5 billion versus last year. We also delivered an important milestone in our deleveraging journey with our net debt-to-EBITDA ratio reaching 2.89x, below 3x for the first time since 2015. With this progress, we have increased flexibility in our capital allocation choices. The Board has proposed a full year dividend of EUR 1 per share, a 22% increase versus last year. Now turning to our operating performance. Total revenue grew by 2.7% this year with our revenue management choices and ongoing premiumization driving revenue per hectoliter growth of 4.3% EBITDA increased by 10.1% in the fourth quarter and by 8.2% in the full year, increasing by $1 billion versus 2023. Our overall volume performance in 2024 was, however, constrained by the unusually soft consumer environment in both China and Argentina, which drove a total volume decline of 1.4%. While the performance in these 2 markets this year does not reflect our full potential, we remain confident in the long-term growth opportunity and are investing to rebuild momentum. Outside of these 2 countries, the Beer category globally remains vibrant, and we are winning with consumers across our footprint. Volumes grew in the majority of our markets. We estimate we gained or maintained market share in 2/3 of them, and our volumes increased by 0.9% in all other markets. Turning to our top line performance. Our revenues reached a new all-time high of $59.8 billion with organic growth more than offsetting translational FX headwinds. Net revenue per hectoliter growth improved sequentially throughout the year. Our financial performance was broad-based with revenue increase in 75% of our markets and EBITDA growth in 4 of our 5 operating regions. Now I'll take a few minutes to walk you through the operational highlights for the year from our key regions, starting with North America. In the U.S., our business is building momentum. Our portfolio is reaching an inflection point, and we are increasing investments in our brands to fuel growth. Our STR volumes grew in the fourth quarter, and we gained volume share in the industry, driven by Michelob Ultra and Busch Light, which were the top 2 volume share gainers in the industry. The beer industry overall remained resilient in 2024, improving in both volume and revenue trends sequentially since the second quarter and gained share of total alcohol by volume. Now moving to Middle Americas. In Mexico, our momentum continued as we gained share of industry and delivered record high volumes for the year. In Colombia, we delivered record high volumes with our portfolio continue to gain share of total alcohol. In South America, our business in Brazil delivered total volume growth of 1.5% with double-digit bottom line growth. Our beer portfolio is estimated to have outperformed the industry with market share gains driven by our premium and super premium brands. In Europe, EBITDA increased by mid-teens through a combination of top line growth and continued margin recovery. Our volumes grew slightly, outperforming the industry in 5 of our 6 key markets, led by Corona and Stella Artois. In South Africa, our momentum continued with volumes growing by mid-single digits, gaining share of both beer and Beyond Beer. In APAC, in China, the soft consumer environment impacted the overall beer industry and particularly the on-premise channel, which disproportionately impacted our business. We underperformed the industry, and we know our business in China has far more potential than we delivered in 2024. We remain confident in the growth opportunities for beer and continue to invest for the long term. The close of 2024 also marks 3 years since we introduced our 3-pillar strategy and our medium-term growth outlook. And I would like to take a few minutes to reflect on the progress we have made in executing our strategy. Let's start with our perspective on the overall Beer category. The category and our brands are a passion point for consumers. We believe beer has a long runway for future volume growth and premiumization across our footprint, supported by favorable demographics, economic growth and significant opportunities to increase category participation. In 2024, according to IWSR, the beer and Beyond Beer category continued to gain share of total alcohol by volume globally and has now gained more than 200 basis points since 2021. And looking ahead, beer is expected to grow volumes globally and continue to gain share of total alcohol. Our diversified geographic footprint and leadership positions across developing, emerging and developing markets has us best positioned to capture this growth. Developing markets represent 55% of our volume, are mostly comprised of countries where we have strong leadership positions and are expected to account for 34% of the category volume growth over the next 5 years. This cluster has been a key growth engine for our business over the last 3 years with record high volumes in key markets such as Brazil, Mexico, Colombia and South Africa and double-digit top and bottom line growth in U.S. dollars. Emerging markets represent only 10% of our volumes, but are expected to drive nearly 50% of the category volume growth. We have leadership positions across Africa and lead the fast-growing premium and super premium segments in India. Our volumes across this cluster have grown by 10% over the last 3 years with significant opportunities to increase category participation as these economies develop. Developed markets represent 24% of our volume with leadership positions across key markets in Europe, the U.S., Canada and South Korea and are expected to account for 14% of the category volume growth. In the U.S., our portfolio is at an inflection point. In Europe, our premium and super premium portfolio now make up 57% of our revenue and EBITDA increased by double digits in 2024. And in South Korea, our revenue increased by low teens in 2024 with our market share reaching the highest level in the last 10 years. And in China, while 2024 has been a challenging year for both the industry and our business, we remain confident that the long-term premiumization trend in the industry is a compelling profitable growth opportunity. We are the leaders in the premium and super premium segment and are investing in our portfolio, innovation and geographic expansion to regain our momentum. We have evolved our portfolio management approach to focus our investments in our mega brands and drive efficient profitable growth. Our mega brands have increased revenue by nearly 40% since 2021 and now represent 57% of our total business. In 2024, we invested $7.2 billion in sales and marketing, and averaged more than $7 billion per year since 2021. Our investments are more effective than ever as we have concentrated behind mega brands and mega platforms and have leveraged the data and our digital platforms to drive efficiency. Led by our global brands, we are the leader in the premium beer segment globally and see a long runway for the category to continue to premiumize. The premium beer segment is forecast to grow volumes across all geographic clusters and at more than double the rate of the category overall. Within premium, the Corona brand continues to grow from strength to strength in leading the growth of our portfolio globally. In 2025, we'll be celebrating 100 years since its original launch. Since 2018, the volumes of Corona have nearly doubled. And in 2024, volumes increased by 9.4% in markets outside of Mexico. In its home market of Mexico, Corona is the #1 brand in the industry and volumes grew by mid-single digits. The quality, brand power and consumer preference for Corona has earned the right for a premium price point. Corona sells on average at 20% premium to the nearest competitor. In recognition of this past performance and its future potential, Corona was named the most valuable beer brand in the world in 2024. We continue to focus on innovating to develop the category and expand occasions to meet consumer needs. Our balanced choice portfolio includes options for consumers seeking low carb, low calories, sugar-free, gluten-free and non-alcohol alternatives. Our brands across these consumer trends are growing ahead of the overall beer category and are becoming a meaningful part of our overall business, now representing approximately 10% of our beer revenue. Looking specifically at non-alcohol beer, our portfolio momentum continued to accelerate, led by the triple-digit growth of Corona Cero, we estimate we gained share globally in 2024. While non-alcohol beer is currently a relatively small portion of our global beer volume, we believe it is a key opportunity to develop new beer consumption occasions, increase category participation and drive incremental volume growth. In addition to beer, we have been developing our portfolio of Beyond Beer brands to meet consumer needs and increase our total addressable market. The strength of our brands and our production and route-to-market capabilities provides us a strong right to win in this segment. In South Africa, Brutal Fruit and Flying Fish are 2 of the leading flavored malt beverages in the country, which have been expanded across Africa over the last couple of years. And in the U.S., Cutwater is the #1 canned cocktail brand in the country and NÃ¼trl is the #2 vodka seltzer brand. The combined revenue of our focused spirit-based RTD and flavored malt beverage brands have increased by approximately 20% since 2021, and the category is forecast to grow volumes at double the rate of the overall beer category. Now let's turn to our second strategic pillar, digitize and monetize our ecosystem. In 2024, BEES captured $49 billion in gross merchandising value, a 19% increase versus last year with 124 million orders transacted through the platform. BEES GMV has now more than doubled versus 2021 with our percentage of revenue transacted through digital channels increasing from around 50% to 75%. BEES marketplace continued to accelerate and delivered $2.5 billion in GMV this year, a 57% increase versus last year. And in D2C, our digital platforms are enabling a one-to-one connection with our consumers and the development of new consumption occasions. We have expanded the availability of our digital platforms to 21 markets with revenue reaching $560 million. With that, I would like to hand it over to Fernando to discuss the third pillar of our strategy, optimize our business.
Fernando Tennenbaum: Thank you, Michel. Good morning, good afternoon, everyone. For the next few minutes, I want to take you through a few tangible examples of what we mean by optimizing our business and the financial results we are driving. In 2024, we made progress on 4 key areas of focus: improving margins; compounding U.S. dollar EPS growth; growing our free cash flow; and making disciplined capital allocation choices. Our EBITDA margin improved by 179 basis points this year, with margin expansion across all 5 of our operating regions. We know that each year will be different, but are confident that the combination of our leadership advantages, disciplined revenue management, continued premiumization and efficient operating model create an opportunity for further margin expansion over time. Moving on to EPS. This year, we delivered underlying profit growth of $900 million. Underlying EPS was $3.53 per share, a 15.4% increase versus last year and a 7% CAGR since 2021. Organic EBITDA growth accounted for an $0.81 per share increase this year with a $0.26 per share headwind from translational FX. As we continue to optimize our business, improvements in below EBITDA items drove the balance of our EPS growth such as lower net interest expense from active net debt management and continued deleveraging as well as lower cost of hedging and reduced FX losses. Next, let's take a look at free cash flow through a combination of revenue growth and margin expansion, reducing our net interest expense through deleveraging, optimizing our net working capital and improving the efficiency of our CapEx through disciplined resource allocation, we increased our free cash flow by $2.5 billion to reach $11.3 billion in 2024. With this increase in cash generation, we continue to make progress on our deleveraging journey and delivered an important milestone for our business. Net debt-to-EBITDA reached 2.89x, below 3x for the first time since 2015. In 2024, we continue to strengthen our debt maturity profile while maintaining our weighted average coupon. Our bond portfolio remains well distributed with no relevant medium-term refinancing needs. We have approximately USD 3 billion worth of bonds maturing through 2026, a weighted average maturity of 13 years and no financial covenants. As we continue to make progress on our deleveraging, we have increased flexibility in our capital allocation choices. The Board has proposed a full year dividend of EUR 1 per share, a 22% increase versus last year with the ambition to continue a progressive dividend over time. Additionally, we have completed approximately $750 million of our $2 billion share buyback program announced last year. As we look ahead to 2025, we expect EBITDA to grow between 4% and 8% on an organic basis, in line with our medium-term outlook. In terms of phasing of growth in the year, it is worthwhile reminding that due to technical factors such as fewer selling days, the timing of Easter and shipment phasing comparables in the U.S. and China, the first quarter will have a high comparison base. As we continue to invest to execute our strategy while optimizing our resource allocation, we expect net CapEx to be between $3.5 billion and $4 billion, and we expect our normalized effective tax rate to be between 26% to 28%. With that, I would like to hand it back to Michel for some final comments before we start our Q&A session.
Michel Doukeris: Thanks, Fernando. Before opening for Q&A, I would like to take a moment to recap on 2024 and look ahead at the opportunities our brands have to activate the category in 2025. Driven by the consistent execution of our strategy, we delivered high-quality financial results in 2024. EBITDA grew at the top end of our outlook. Underlying EPS increased by 15% in U.S. dollars, and our free cash flow grew by $2.5 billion. Our geographic footprint, leadership positions and portfolio of mega brands position us well to capture future category growth. With leverage below 3x, we have increased capital allocation flexibility. While the operating environment has been dynamic over the last few years, we are encouraged by the consistent performance of our business. EBITDA has grown within or above our medium-term growth outlook in every quarter over the last 3 years, and we are confident in our ability to deliver in 2025. Looking ahead, we are uniquely positioned to activate the category. The combination of our mega brands with the key global platforms that consumers love and that bring people together is a powerful opportunity to lead and grow the category. From the NBA to the FIFA Club World Cup to Wimbledon and music platforms like Tomorrowland and Lollapalooza, we will be focused on connecting with consumers and bringing to life our purpose of creating a future with more cheers. With that, I will hand it back to the operator for the Q&A.
Operator: [Operator Instructions] Our first question is coming from the line of Edward Mundy with Jefferies.
Edward Mundy: Two questions, please. So there's been a huge step change in free cash flow. I was hoping to try and sort of tease out the types of things that you might be able to consider given this increased flexibility that previously might not have been on the table. I think, Michel, you laid out very clearly on Slide 16 and 17 that you've got a best-in-class footprint and strong brand portfolio, so that argues against the need to make major acquisitions. Is this really around getting the balance between deleveraging and accelerating returns to shareholders? That's the first question. And then the second question is on China. You've appointed someone internal with a very strong commercial and supply chain background. Could you help us think about the balance between both investing for growth and optimizing that footprint?
Fernando Tennenbaum: Ed, this is Fernando here. Let me take the first question. So the first question is on capital allocation. It's worth reminding that the objective of our capital allocation policy is value creation. And it's kind of -- the framework is unchanged, and we remain disciplined in our choices. So priority #1 has always been investing in the organic growth of our business. We have a very good business with no shortage of opportunities to invest. And if you look from 2021 to 2024, we invested like around $55 billion across CapEx and S&M to drive organic growth. With the excess cash that we generate, then we need to solve for maximizing value creation. And we always dynamic balance between deleveraging, return of capital to shareholders and selective M&A. If you look at 2024, in the organic growth of our business, we invested in S&M $7.2 billion and in CapEx, $3.7 billion. So when you add all of those, almost $11 billion. On the net debt side, we reduced $6.9 billion, so almost $7 billion of net debt reduction. And we were able to do all that while announcing a share buyback of $2 billion and also increasing dividend by 22% to EUR 1. With leverage now below 3x, it's fair to say that we have increased flexibility in our capital allocation choices to continue to invest for growth and return capital to our shareholders. On the second question to you, Michel.
Michel Doukeris: Ed, I will just complement here on what Fernando described on the capital allocation. And then if you can please confirm that your second question was in China. I think that I heard that, but just please confirm to me.
Edward Mundy: Yes, it's on China.
Michel Doukeris: So Okay. Thank you. On the cash flow generation and the strategy that we have today. So we've been articulating this to you over time that the main priority is organic growth. And we believe that based on the scale that we have today, the footprint that we have today, the compounding effect of this organic growth is a massive value creation opportunity. And of course, as we materialize and execute this strategy, generate the cash, reduce leverage. As Fernando said, we gain financial flexibility so we can really allocate capital in different ways. So priority #1 is organic growth. But with the compounding effect, we gain growing financial flexibility. In China, I think that there is a couple of things. First, last year, last 2 years, very soft consumer environment. We have seen some shifts in channels, we see geographically the Eastern part of China having more difficult than the Western part of China and Central China. Nevertheless, we think that our business there has much more potential than what we have delivered in the last 2 years. We have a plan in place since the end of last year with increased investments, more focus on our mega brands, huge execution now during Chinese New Year, where we saw Budweiser in the big stage, front and center on everything that we are doing. We have been introducing innovation in the market with Harbin Zero, and we want to increase the level of execution so we can harness the opportunities that we have there and reignite the business for growth once now we expect this year the comps in China to sequentially improve as we get through the year. Thanks for the questions.
Operator: Our next question is coming from the line of Simon Hales with Citi.
Simon Hales: Michel, Fernando. So a couple for me, please. Can we start on the U.S. and the margin delivery, particularly in Q4? It's clearly a little bit lower, the expansion we saw there than we've seen in the prior couple of quarters. I think, Michel, you referenced in your presentation the investment we've seen going into the business. I think we've also seen probably higher COGS and some of the aluminum tariffs kicked in. How should we think about sort of the outlook for margins in the U.S. as we head into 2025 and the trade-off perhaps between further productivity savings versus the investment into the business and those ongoing COGS pressures? And then secondly, maybe just a quick one for you, Fernando, around the number of the factors you highlighted as we head into Q1, which will be weighing a little bit on volume performance. Can you share a little bit more detail perhaps on how we should think about the scale of those combined factors on volumes in Q1, please?
Michel Doukeris: Simon, thanks for the question. I will take on the U.S. first. I think that each quarter, of course, is unique and it is going to be different. The important thing here is in the U.S., we are gaining momentum. Our portfolio now much healthier and accelerating, reaching an inflection point, I would say, because with the #1 and #2 share volume brands in the market growing as Michelob Ultra is growing and Busch Light, we start seeing this market share growing every week and every month. Margins are recovering, and we continue to work on productivity. But the main priority for us now is to invest to make sure that this portfolio continues to accelerate. And we are doing this, of course, as we always do in a very efficient way. We continue to work very hard on our productivity across all lines and generate efficiencies in the business. But what we really are glad to see is the commercial momentum and the share momentum that the portfolio has in the U.S. now.
Fernando Tennenbaum: And Simon, on your question, maybe trying to give some more color here. The first one is that 2024 was a leap year. So it means one extra selling day. If you just do a simple extrapolation, that's a 1% impact. The second one is Easter phasing. So Easter is going to be 3 weeks later in 2025. So it's going to be April 20. So the inventory build shifting from March to April. Then on the U.S., we have the STWs versus STRs. Remember that last year, we built contingent inventory ahead of labor negotiations. So this will have somewhat of an impact. And China, we mentioned China as well is a tough comp on a relative basis because volumes declined 6.2% in the first Q of '24, and they trended more negative throughout the year. So this is kind of try to give some color and hopefully, you can be able to quantify a little bit more of the higher base in Q1.
Operator: Our next question is from the line of James Edwardes Jones with RBC.
James Jones: I guess following on from Simon's question, you're talking assertively about investing in the U.S. and behind mega brands, but the ratio of marketing and selling costs as a percentage of sales fell last year. Will it increase in future years? And how is it affected, sorry, by your increasing digital capabilities? And secondly, can you just say a word about the raw material outlook and COGS? I know you don't guide on it specifically, but there has, I think, been quite a lot of concern, particularly around currency depreciation in Latin America and the effect that, that might have.
Michel Doukeris: James, Michel here. Thanks for the question. We've been talking about this ratio and absolute dollars and efficiency of the dollars that we deploy for quite a while. And I always go back to the point that we look at ratios, but we are not guided by ratios. And as we look at the decisions that we are making as we grow our business and we optimize the business, it's very important always to highlight that we made very important portfolio decisions with this idea of focus on mega brands. So we streamlined the portfolio by reducing SKUs and secondary brands. Therefore, we are putting more weight in less brands and getting, as a consequence, more pressure, if you say, on the system execution and what we are doing. At the same time, we elevated our game massively in terms of data. And through BEES, through D2C, we have much more data today that we leverage with our draft line, our internal agency, so we can target better. We can be more agile in the way that we organize our campaigns and focus more with the resources that we have to get better reach and better amplification on our campaigns. And the combination of these brands, data and the mega platforms, they allow us to drive in a more effective way the dollars that we have. So the same dollars, they work much harder. And therefore, we measure the ratios. We measure the total dollars, but our main leading KPI is effectiveness. And if I can give you an example, so Super Bowl this year, we got incredible ads that were integrated very well in our execution that they allowed us to have leadership in terms of visibility and engagement during Super Bowl with consumers. Our share accelerated in the market in both off-premise and on-premise during the Super Bowl week. In the on-premise, we had the #1 and #2 brands and it was a while that we didn't have this combination. And to top it up, Budweiser got the #1 spot on the meter and our 4 brands got very well positioned amongst the top 10 brands in consumers' view in terms of quality of advertisement. So it's really great creative, good usage of data, a very good quantum in terms of dollars that we invest, but invested in a much more effective way. So we are looking at the return. We are not holding ourselves in any of the ratios specifically.
Fernando Tennenbaum: And James, Fernando here. You asked about raw material cost of goods sold. And we said last year on our third quarter earnings call that 2025 is looking more like a normal year, more like a normal year on average, more or less in line with inflation, if I could try to qualify or quantify what a normal year is. But having said that, our hedging policy always hedge 12 years -- 12 months in advance. And then you know that by hedging 12 months in advance, most of the emerging markets currency devaluated throughout the middle of last year. So one could expect easier comps on the first half of the year and higher comps on the second half of the year. But for the full year, on average, a normal year.
Operator: The next question is coming from the line of Sanjeet Aujla with UBS.
Sanjeet Aujla: MIchel, Fernando, 2 from me, please. Firstly, coming back to free cash flow and CapEx in particular. Fernando, can you just help us understand where you're seeing the CapEx efficiencies? What is maintenance CapEx for the business these days? And secondly, just coming back to China. Michel, you highlighted that you've got a plan in place since the end of last year. Can you just elaborate a little bit more on that? How are you evolving your strategy for the new normal in China?
Fernando Tennenbaum: Sanjeet, Fernando here. Let me take the first one. So as we continue to implement our strategy, we look to optimize all lines of our business with our disciplined capital allocation. CapEx is one of the areas where we are making meaningful progress. As we deploy CapEx -- capital for CapEx projects, and $3.5 billion to $4 billion is a meaningful investment to support growth. We are doing this in an ever more efficient way with the following focus areas. The first one is technology. We are deploying, for example, deploying AI, improving our ability to code with less man hours to deliver products. The other one is capacity. We are using our scale and our ZBB approach to be able to design better, procure better and build in a more efficient way and kind of almost like looking project by project, taking almost like a ZBB approach for CapEx as well. So we are increasing our efficiency. We are still very committed to invest in our business. I can give you a few examples. We invested in additional brewing, packaging and distribution capacity in multiple countries such as Brazil, Colombia, where we have -- we are in the middle of the process of finishing a $400 million greenfield brewery in Honduras, in Mexico, South Africa and the U.S. But this optimization is not something new. This has been ongoing for the last 2, 3 years. We optimized our CapEx in 2023, again in 2024, and we do all of that while maintaining a quite healthy growth for our business. And if you look at for the long term, we believe our CapEx outlook is appropriate to drive long-term growth.
Michel Doukeris: Yes, Sanjeet, it's Michel here. I think that for China, I get the question of what people keep saying new normal. And I think that we are for like 2 or 3 years trying to find what the new normal means for China. And my experience in China is that you go through cycles. When you think that you are landing somewhere, things can move very quickly. And what you see in the market today there is everything that I said before, like more West, less East, you see last year is very tough. The beginning of this year looks a little bit better, but things are settling. And I don't think that we can discount or call this a new normal to China because we need to give more time, see how the year will unfold. And our strategy, I think that is pretty much the same because it's focus on premiumization, making sure that we increase availability and leverage our route to market in China, but our execution can be better. And we are putting more resources on less brands. We are making the execution behind this brand more comprehensive and at the level that each brand deserves. And we want to accelerate the way that we leverage this brand, our route-to-market when we go to the key selling moments, sell more beer, execute better, get closer to consumer. It's just the beginning of the year, but was a very good Chinese New Year. And we saw that sales to retailers, they moved somehow in line with the last year. But the sales to consumers so far, it looks like better than was last year. I cannot precisely say yet by how much, but was -- we are just like 2 weeks into looking at the numbers, but we need now to see spring, beginning of summer to see how things will develop in the year. And then maybe we can talk later second quarter, third quarter on what the normal for the year of 2025 look like. Thanks for the question.
Operator: Our next question is coming from the line of Rob Ottenstein with Evercore ISI.
Robert Ottenstein: Great. Michel, It's a little bit of a complicated nuanced question, so let me go slowly. You've been leading a cultural change at the company and I'd like to understand where you are with that? And I think part of the cultural change, and correct me if I'm wrong, is maybe getting a better balance on the marketing side between local and central decision-making. You operate in enormous markets. right? I mean China, Brazil, the U.S., incredible diversity of consumer. The consumer in Mississippi is very different than the consumer in San Francisco or New York. And I'm sure you have similar sorts of differences in China and Brazil. And so it's always kind of tricky, right? You want to have the scale of central decision-making and the big brands. But if you're consumer-centric, you've got to be sensitive to what's going on in the local markets and what the local consumers want. So in that context, I'm just very interested to know if you've changed that balance at all between centralized marketing decisions and local decisions, what role maybe data and AI is playing in that and perhaps whether that is -- that change in balance is helping you drive the very strong share gains that you've had this year?
Michel Doukeris: Robert, thanks for the question. I'll try to answer here the best I can, and I'm happy to follow up this question as we meet either Friday or on the weeks to come, okay? But I think that, yes, when you think about cultural change, I will just try to qualify what we mean by cultural in this case. I think that is the strategy and the discussion that we had in moving the company from an inorganic growth-led company to an organic growth-led company. And in a nutshell, means less growth by acquisitions, and more growth, granular bottoms-up, focus on growing the brands that we have in the operations that we have with the consumers that, as you said, are local. And we operate, as you qualified very well in very diverse markets, but we operate with this idea of best of local and global, the combination of efforts focused on doing what is best for our consumers and our markets. And the way that we got organized on that, which I think that is getting this complexity and trying to distill into simple concepts is the mega brands. So the mega brands are up to 5 brands in each market that will lead our growth. So they are not global brands. They can be global brands, but they are the 5 relevant brands for each market. We have in these markets the rest of the portfolio that we are either expanding or sustaining investments, but the leading brands are the mega brands. And these brands, they grew from $25 billion roughly in 2021 to be today more than $33 billion. So today, they are more than 57% of our portfolio and means that this optimization is working because bigger brands with more investments growing more. The second part of that is leveraging our scale with what we call these mega platforms. And these mega platforms can be sports events like Olympics or FIFA or they can be platforms that support our brands like music or like food or like one type of sport, which is tennis that we are trying to elevate globally with Stella. And we are getting the mega brands, mega platforms and all the data that we are generating with our digital products to create a process, a one ABI way of marketing that can be used and deployed across all markets. So we have the portfolio segmentation. We have the investments in the mega brands. We have the data that now is common and granular across all countries. All wrapped up in a process that everybody can use. But then this process, the brands, the consumers are our local consumers. So it's a very interesting combination of having a more simple approach for a global company like ours that can be used in all markets while continuing to be laser-focused on the consumers and in each market. So one of the slides that we shared here today in the presentation, which I think is a very interesting one, is how we are getting this one global insight, which is healthier choices and healthier lifestyle and deploying with our balanced choices with different propositions across all markets. So for the U.S., it's less carbs and is Michelob Ultra. For South Korea, is Cass zero sugar. For Brazil is Stella gluten-free and globally is Corona Cero alcohol. So same insight, same way of addressing the site with different propositions and innovation, but then catering for each and every local consumer need. So I'm happy to take on this question more when we next meet. And I hope that the answer could address your question, okay? Thank you very much.
Operator: The next question is coming from Trevor Stirling with Bernstein.
Trevor Stirling: Michel, and Fernando, my 2 questions. The first one, Michel, you've got a range for organic EBITDA growth of 4% to 8%. Can you just talk about what do you think the key factors are that might lead you to the bottom end or the high end of that range? And second one, probably for Fernando. Fernando, a big step-up in cash flow this year. As I look forward -- sorry, in 2024, as I look forward to 2025, would be right to think, well, hopefully, there'll be a bit of organic -- sorry, dollar EBITDA growth. Hopefully, again, dollar interest will fall a little bit. CapEx, you've already guided to, and working capital probably to be more or less neutral across the year. Is that the right way to think about the 2025 cash flow?
Michel Doukeris: Trevor, Michel here. I'll take on the first one and leave Fernando for the cash flow question. I think that just -- maybe stepping back on the idea of the guidance, you remember this, I repeat this, and I hope that this point is very boring repetition to you all that we provided the guidance because we were in the transition from inorganic to organic. And the idea was grow organically, maintaining the financial discipline and this range of 4% to 8% being like a ballpark to make everybody's life a little bit easier in terms of the projections. And we've been delivering, as we stated before, 13 quarters in a row within or above this range. And there is many things out there happening. Each and every quarter might be different. In reality, if you look at the 3 years, they were all very different in itself. But we've been managing with the levers that we have to maintain the focus on the long term and grow while delivering on this compounding growth on the EBITDA line. And if we do this and we optimize the business in the way that we've been optimizing, then the consequence is a growing flow in our free cash flow. And I think that this is what Fernando will be talking about now. And I think that at this point, it's too early for us to give any specifics on what could impact the high range or the low range. I think that we need a little bit more time to see how the year will develop, and we'll probably go back to your question during quarter 1 or quarter 2 results. And we have to take this more in details there. But today, we are encouraged by the momentum that we have, and we see that the 4% to 8% is solid as an outlook for the year of 2025.
Fernando Tennenbaum: And Trevor, Fernando here. So on your cash flow question, you are right. When you look at our improvement 2023 versus 2024, we had -- we start with an EBIT increased. The EBIT increased around $1 billion. So that helped cash. We continue to delever. So we saved in net interest. This was like $300 million. We had a good improvement on working capital. We mentioned in 2023 about the impact from extended credit terms to our wholesalers and lower payables because you're optimizing inventory purchase and CapEx, and now we are getting to a more normal level and the efficient CapEx spend. So between 2023 and 2024, we had a $700 million improvement there. When you look forward, on the EBITDA side, we just talked about it. We have our outlook. So outlook should deliver another organic growth on top of what we had. Then the net working capital, it's kind of -- we had in the past some more large swings year-over-year driven by COVID and some supply chain disruptions. 2024 is what we can call more normalized change in working capital. And since we have a negative working capital cycle as we grow, this should also help drive cash flow. And the ETR outlook, we remain slightly better than the outlook from last year, but consistent with where we are. So all in all, I think we are in a good position to continue to generate strong cash flows going forward.
Operator: Our final question is coming from the line of Gen Cross with BNP Paribas.
Gen Cross: First question is just on the U.S. where STR is positive in Q4, and you commented on gaining share, clearly, momentum in both the businesses. And it sounds like the beer industry overall improved through the course of 2024. And Michel, you talked about the portfolio reaching an inflection point. I wonder if you could comment on whether you think modestly positive STR growth is now sustainable in the U.S. business? And the second question is just on Mexico. Again, there's comment on improved consumer momentum in Q4. Could you just share some color on what you think drove that and whether that's sustained into the start of 2025?
Michel Doukeris: Gen, so on the U.S., you are right, we saw during last year, a sequential improvement in the industry. So slow start, summer was somehow bad weather. And then on the second half of the year, we saw improvements in quarter 3, and quarter 4 was a more normal. And we've been seeing this this year as well. So a very big correlation with weather events. And a normal week is a more normal industry. Weeks where we have disruptions being cold or rain, we've been seeing that the industry is reacting a lot to that. I don't think that the industry is at a positive volume point yet, but we've been seeing dollar-wise, the industry stable growing. And when we have good weekends, good months, you see some dollar growth. Our portfolio had somehow a very similar path last year. So we improved quarter-after-quarter being the quarter 4, one that was positive for our share with both Michelob Ultra and Busch Light gaining a lot of momentum and being the #1 and #2 brands in share growth in the industry. I think that we -- on our side, we can, let's say, control better the performance of the brands and the relative market share. And it's complicated to have a very strong forecast on the industry, again, because there are many things in play at this moment. So there is some economic pressures in some segments of the population. You have this migration issue and some ZIP codes where you have more Hispanic consumers, you see that the performance is slightly negative to the average. But we, in our favor, I think this year, we should have a better summer. So let's see how quarter 1 will unfold. Let's see what are the tailwinds during the summer. So we will be able to talk a little bit more about what the outlook for the volume is as we look at the numbers down the road. I think that's too early to make any call at this moment. Fernando also said before that there is some technicals on the quarter 1. So there is one last trading day, that is Easter. There is some inventory that we built up last year ahead of the labor negotiations. This will phase out through quarter 1 into quarter 2. And I think that by the time that we get to the summer, we will have a very good view of what the year will be. And Mexico, similarly, Mexico had like phasing last year, but a different one was like government spending on the quarter 1 and then elections on quarter 2 that hold on this spending, quarter 3 start to normalize. And of course, there is a lagging effect, right? So you stop spending in quarter 2, consumer purchase power goes down quarter 3, you normalize in quarter 3. Quarter 4, we saw more normal Mexico. And I think that this is so far what we've been seeing this year as well with this cold weather that hit the U.S., and we saw snow in Florida, snow in New Orleans, also taking a little bit of the northern part of Mexico, which was colder than average. But on average, Mexico is okay as it was last year. And again, I think that as we go from quarter 1 to quarter 2, we will see a much better picture down there as well. So thanks for your question.
Operator: This was the final question. If your question has not been answered, please feel free to contact the Investor Relations team. I will now turn the floor back over to Mr. Michel Doukeris for closing remarks.
Michel Doukeris: Thank you, Jesse. So thank you, everyone, for the time today, for the ongoing partnership and support to our business. Stay safe and well, and we will see you guys on our next calls and one-to-one interactions. Thanks so much. Have a good day.
Operator: Thank you. This concludes today's earnings conference call and webcast. Please disconnect your lines, and have a wonderful day.